Operator: Thank you for holding, ladies and gentlemen, and welcome to Alliant Energy's Yearend and Fourth Quarter 2015 Earnings Conference Call. AT this time, all lines are in a listen-only mode and today's conference is being recorded. I would now like to turn the call over to your host, Susan Gille, Manager of Investor Relations at Alliant Energy.
Susan Gille: Good morning. I would like to thank all of you on the call and on the webcast for joining us today. We appreciate your participation. With me here today are Pat Kampling, Chairman, President and Chief Executive Officer; Tom Hanson, Senior Vice President and CFO; and Robert Durian, Vice President, Chief Accounting Officer and Controller; as well as other members of the Senior Management Team. Following prepared remarks by Pat and Tom, we will have time to take questions from the investment community. We issued a news release last night announcing Alliant Energy's yearend and fourth quarter 2015 earnings, affirmed 2015 earnings guidance and provided updated 2016 through 2019 capital expenditure guidance. This release, as well as supplemental slides that will be referenced during today's call, are available on the investor page of our website at alliantenergy.com. Before we begin, I need to remind you the remarks we make on this call and our answers to your questions include forward-looking statements. These forward-looking statements are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters discussed in Alliant Energy's press release issued last night and in our filings with the Securities and Exchange Commission. We disclaim any obligation to update these forward-looking statements. In addition, this presentation contains non-GAAP financial measures. The reconciliation between non-GAAP and GAAP measures are provided in the earnings release, which are available on our website at alliantenergy.com. At this point I'll turn the call over to Pat.
Pat Kampling: Thank you, Sue. Good morning and thank you for joining us for our yearend earnings call. I'll begin with an overview of 2015 performance and then provide an update on our forecasted capital expenditures and rate base. I'll also share the progress made in transforming our generation fleet, modernizing our electric system and expanding our natural gas system. I'll then turn the call over to Tom to provide details on our 2015 results and 2016 guidance as well as review our regulatory calendar. I am pleased to report we've had another solid year achieving a $3.57 midpoint of our November 2015 guidance range when adding back to negative temperature impact of $0.08 per share to the non-GAAP earnings of $3.49 per share. Our 2015 non-GAAP temperature normalized earnings reflect an increase of over 5% from comparable 2014 earnings as shown on Slide 2. The temperatures of late 2015 did impact our actual yearend results. For the first 10 months of 2015, our financial results were basically temperature neutral, but the one winter we experienced, especially in December resulted in a negative $0.08 per share variance in 2015 earnings. This was quite the opposite for 2014 where we experienced a $0.09 per share positive variance to earnings. Therefore, temperature swings did lead to a significant year-over-year variance of $0.17 per share. We also issued an updated capital expenditure plan for 2016 through 2019, totaling $5 billion as shown on Slide 3. In addition, we have provided a walk from the previous 2016 to 2019 capital expenditure plan to our current plan on Slide 4. As you can see, the $260 million increase in our forecasted 2016 through 2019 capital expenditure plan is driven primarily from accelerated investments from our electric and gas distribution systems. The December 2015 extension of bonus depreciation for certain investments through 2019 has given us the opportunity to bring forward some infrastructure projects that will benefit our customers for years to come. I do want to point out that with this revised capital plan, we expect no material change to the rate base forecast that we provided last November for IPL and WPL through 2018. We anticipate the increase in forecasted capital expenditures will offset the impact resulting from the extension of bonus depreciation. During the past few years, we've been executing on a plan for the orderly transition of our generation fleet in an economical manner to serve our customers. We made significant progress in building a generation portfolio that have lower emissions, greater fuel diversity and is more cost efficient. The transition included installing emission controls and performance upgrades at our largest coal-fired facilities retiring all the less efficient coal units and increasing levels of natural gas fired and renewable energy generation. Since 2010, Alliant Energy has retired or repowered over 1,150 megawatts of coal-fired generation for about one third of our 2009 coal linked plate capacity. These retirements have been replaced with highly efficient gas-fired generation, which produces approximately half of the carbon emissions when compared to coal-fired generation. Though natural gas prices in 2015 resulted in significant changes to the capacity factors of our gas units. Riverside had an approximately 50% capacity factor last year, more than doubled its prior five-year average. Our Emery combined cycle facility also experienced significant increase in operating hours during 2015. With lower gas prices, the additional gas generation in our portfolio resulted in savings for our customers in 2015. Now let me brief you on our construction activities. 2015 was again a very active construction year with over $1 billion deployed. Our investments included approximately $360 million for electric and gas distribution systems. This was one of the largest annual investments in those systems and will be an area of growing investment. These projects are driven by customer expectations to make our electric system more reliable and resilient and to expand natural gas services, especially to communities that did not have access before. In Iowa, the Marshalltown natural gas-fired generating facility is progressing well and is now approximately 75% complete. Forecasted capital expenditure for this project is approximately $700 million excluding AFUDC and transmission. Marshalltown is on time and on budget and is expected to go in service in the spring of 2017. In Wisconsin, progress continues on the installation of a scrubber and baghouse at Edgewater Unified. This project is approximately 90% complete and is on time and below budget. Capital expenditure forecast for this project are approximately $270 million and it is expected to be in service later this year. Driven upgrades and pulverizing replacement work continues at Columbia and these performance improvements projects are expected to be complete next year. This spring construction of a Columbia unit to SCR will begin. WPLs capital expenditure for this project is approximately $50 million and it is expected to go in service in 2018. In 2013, WPL announced that it will retire several older coal facilities and natural gas peaking units and therefore more than 50 years of dependable operation Nelson Dewey and Edgewater Unit 3 were retied in December. The retirement of these units puts several other retirements through 2019 but will result in a reduction of WPL capacities for approximately 700 megawatts. As a result, WPL proposed to construct the 700 megawatt highly efficient natural gas generating facility referred to as a Riverside Energy Center expansion. We anticipate the Public Service Commission will issue its decision on the Riverside expansion in the second quarter. Earlier this month, we announced that we have negotiated options with neighboring utilities and electric cooperatives for partial Riverside ownership of up to 55 megawatts during the construction facility and up to an additional 250 megawatts during the first five years of the facility is operating. With this agreement, the cooperatives have extended their wholesale electric contracts at WP&L by four years through 2026. We're pleased that our neighbor utilities realize the benefits of our proposed facility and want to be involved in this exciting and innovative project. While we now expect the other from the Riverside units to be close to 700 megawatts, the capital expenditure for Riverside remains at approximately $700 million excluding AFUDC and transmission. The targeted and service days has changed from early 2019 to early 2020. Therefore the timing of the capital expenditure have been updated and are reflected on Slide 3 based on input from the EPC bidders. The expenditures presented for Riverside do not reflect the possible capital reduction if the cooperatives exercise their 55 megawatt purchase option during construction. In addition to the Riverside joint ownership option, hub service and MG&E will have the option to limit their capital expenditures at Columbia to paying for only the SCR during the time that Riverside is being constructed. Our capital expenditure plan does not reflect this option being executed. However, we expect that any increase in our capital expenditures at Columbia would be largely offset if the electric co-ops exercise their purchase option 55 megawatts of Riverside. Earlier this month the United States Supreme Court effectively delayed implementation of the clean power plant until legal challenges to the EPAs rules are resolved. This stay will not change our current resource or capital expenditure plan as they were not based on compliance with the clean power plant. As we planned for our future generation needs, we aim to minimize emissions while providing safe, reliable and affordable energy to our customers. We believe that with the transition of our generation fleet and the availability of lower natural gas prices, our carbon emissions will continue to decrease. We're very fortunate to operating states that have a long history of support for renewable energy and a strong commitment to environmental storage ship. We have and will continue to invest in purchase renewable energy. The currently owned 568 megawatts of wind generation and our 10-year capital plan includes additional wind investments to the customer energy needs. In addition, we currently purchase approximately 470 megawatts of energy from renewable sources. Wind energy provided approximately 8% of our customer's energy needs in 2015. Also your several solar projects under development from which we anticipate gathering valuable experience on how best to integrate solar in a cost effective manner into our electric system. At our Madison headquarters with 1300 solar panels have been installed and they're now generating power for the building. Construction has also started on Wisconsin's largest solar farm on our Rock River landfill, which is adjacent to Riverside. In an Iowa we'll be owning and operating the solar panels at the Indian Creek Nature Center in Cedar Rapids and are reviewing responses to the RFP we issued for additional solar in our portfolio. There is a sense of excitement as you work to transform the company to meet our customer's evolving expectations. A major improvement to our customer experience just happened as we went live with our new customer care and billing system. The $110 million investment we placed the interim systems from the 1980s. Our new billing system will make communication with our customers more convenient and timely and will allow for us provide innovative service options. This project was another well executed major initiative. I do want to thank everyone that worked so hard for years to transform our customer experience. At Alliant Energy we've already made great progress transitioning our utilities to a cleaner more modern energy system. This would not have been possible without the hard work and commitment of our employees who keep the customer at the center of everything we do. Let me summarize the key messages for today. We had a solid 2015 and we work hard to also deliver 2016's financial and operating objectives. We anticipate no material change for the rate base growth through 2018 as the updated capital expenditure plan while offset any impact from the extension of bonus depreciation. Our plan continues to provide for 5% to 7% earnings growth and a 60% to 70% common dividend payout target. Our targeted 2016 dividend increased by 7% over the 2015 dividend target. The central execution on our major construction projects include completing projects on time and at or below budget in a very safe manner. Working with our regulators, consumer advocates; environmental groups, neighboring utilities and customers in a collaborative manner. Reshaping our organization to be leaner and faster while keeping the focus on serving our customers and being good partners in our communities and we will continue to manage the company to strike a balance between capital investment, operational and financial discipline and cost effective customers. Thank you for your interest in Alliant Energy and I will now turn the call over to Tom.
Tom Hanson: Good morning, everyone. We released 2015 earnings last evening with our non-GAAP earnings from continuing operations of $3.49 per share and our GAAP earnings from continuing operations of $3.38 per share. The non-GAAP to GAAP differences are due to a $0.07 per share charge resulting from the sale of IPOs Minnesota electric and gas distribution assets and a $0.04 per share charge resulting from the approximately 2% of employees accepting voluntary separation packages as we continue focusing on managing cost for our customers. Comparisons between 2015 and 2014 earnings per share are detailed on Slide 5, 6 and 7. Retail, electric, temperature normalized sales increased approximately 1% or $0.04 per share at IPO and WP&L between 2015 and 2014. This excludes the impacts of the Minnesota sale. The industrial segment continues to be the largest sales growth driver year-over-year. The 2015 results include an adjustment to our ATC earnings to reflect an anticipated decision from FERC expected to lower ATCs current authorized ROE of 12.2%. We reserve $0.06 per share for 2015 reflecting an anticipated all in ROE of 10.82%. This is a result of the FERC Administrative Law Judge's initial decision issued in December 2015. Now let’s review our 2016 guidance. In November, we issued our consolidated 2016 earnings guidance range of $3.60 to $3.90. The key drivers for the 5% growth in earnings relate to infrastructure investment such as the Edgewater 5 and Lansing emission control equipment and higher AFUDC related to the construction of the Marshalltown generating station. The 2016 guidance range assumes normal weather and modest retail electric sales increases of approximately 1% for IPO and WP&L excluding the impacts of the Minnesota sale. Also the earnings guidance is based upon the impacts of IPOs and WP&Ls previously announced retail electric base rate settlements. The IPO settlement reflected rate-based growth primarily from placing the Lansing scrubber in service in 2015. In 2016, IPO expects to credit customer builds by approximately $10 million. By comparison the billing credits in 2015 were $24 million. During 2016 IPO also expects to provide tax benefit rider billing credits to electric and gas customers of approximately $62 million compared to $72 million in 2015. As in prior years the tax benefit riders may have a quarterly timing impact but are not anticipated to impact full year results. The WPL settlement reflected electric rate base growth for the Edgewater 5 scrubber in baghouse projected to be placed in service in 2016. The increase in revenue requirements in 2016 for this and other rate base additions was completely offset by lower energy efficiency, cost recovery amortizations. Also included in WP&Ls rate settlement was an increase in transmission cost, primarily related to the anticipated allocation of SSR cost. As a result of a third quarter issued after the settlement, the amount of the transmission cost build to WP&L in 2016 will be lower than what was reflected in the settlement. Since the PSCW approved escrow accounting treatment for transmission costs, the difference between the actual transmission costs billed to WP&L and those reflected in the settlement has been accumulated in a regulatory liability. We estimate that this regulatory liability will have a balance of approximately $35 million by the end of 2016. This regulatory liability is another mechanism we can use to minimize future rate increases for our Wisconsin retail electric customers. Slide 8 has been provided to assist you in modeling the effective tax rates for IPO, WP&L and AEC for 2016 and provides you the actual effective tax rates for 2015. Turning to our financing plans, our current financing forecast incorporates the extension bonus depreciation deductions for certain capital expenditures for property through 2019. As a result of the five year extension to bonus depreciation, Alliant Energy currently does not expect to make any significant federal income tax payments through 2021. This forecast is based upon the current federal net operating losses and the credit carry-forward positions as well as future amounts of bonus depreciation expected to be taken under federal income tax returns over the next five years. Cash flows from operations are expected to be strong given the earnings generated by the business. We believe that with our strong cash flows and financing plan, we will maintain our targeted liquidity and capitalization ratios as well as high quality credit ratings. Our 2016 financing plan assumes we'll be issuing approximately $25 million of new common equity through our share owner direct plan. The 2016 financing plan also anticipates issuing long-term debt up to $300 million at IPO and approximately $400 million at the parent and Alliant Energy resources. $310 million of the proceeds at apparent and Alliant Energy resources are expected to be used to refinance maturity of term loans. We may adjust our financing plans as deemed prudent if market conditions warrant and as our debt and equity needs continue to reassessed. As we look beyond 2016, our equity needs will be driven by the proposed riverside expansion project. Our forecast assumes that capital expenditures for 2017 and 2018 would be financed primarily by a combination of debt and new common equity. Before the five-year extension bonus depreciation, we were not expected to make any material federal income tax payments through 2017. Thus, the extension of bonus depreciation is not expected to change our financing needs for the next two years. We have several current and planned regulatory dockets of note for 2016 and 2017, which we have summarized on Slide 9 during the second quarter of 2016 we anticipate a decision from the PSCW on the riverside expansion proposal and we anticipate filing a WP&L retail electric and gas rate case for 2017 and 2018 rates. For IPL, we'll be filing our five-year emission plan and budget in the first quarter and expect a decision regarding the permanent application for the approximately $60 million Clinton Natural Gas pipeline in the second quarter. The next Iowa retail electric and gas based rate cases are expected to be filed in the first quarter of 2017. We very much appreciate your continued support of our company and look forward to meeting with you throughout the coming year. At this time I'll turn the call back over the operator to facilitate the question-and-answer session.
Operator: Thank you, sir. [Operator Instructions] Alliant Energy's Management will take as many questions as they can within the one hour timeframe for this morning’s call. [Operator Instructions] We will take our first question from Brian Russo with Ladenburg Thalmann.
Brian Russo: Hi. Good morning.
Pat Kampling: Good morning, Brian.
Brian Russo: Would you be able to possibly quantify the amount of equity you might need to help finance the riverside expansion?
Tom Hanson: Brian, as we said, our objective is to continue to maintain the targeted equity levels at both IPL and WP&L. So you can assume that with largest project here at WP&L that we will have incremental equity needs. We'll be sharing specifics as we issue guidance in later years, but what’s important are targeted incremental equity is included in our forward-looking guidance. So the delusion is reflected in our 5% to7% targeted growth rate.
Brian Russo: Okay. Great and it looks like '15 over '14 and '16 over '15 you got to kind of gravitating towards the lower end of the 5% to 7% EPS CAGR. Is there something structural there that as rate base grows its harder to get in the middle or the higher end or is it just a function of lumpiness of the CapEx?
Pat Kampling: Yes, what really is Brian is that our sales forecast has come down a little bit. Originally we were about 2% at Wisconsin 1% in Iowa. Now we see it as overall 1% and that's what's really brought us down to more to the midpoint of the range, not to the higher end of the range.
Brian Russo: Okay. And just to clarify, fourth quarter weather versus normal is negative $0.08?
Pat Kampling: That’s correct.
Brian Russo: Okay. And what quarters did those two charges occur? Were they in the fourth quarter or earlier?
Tom Hanson: The third quarter we recorded the Minnesota charge and I believe second quarter was Minnesota's charge and then the third quarter was the charge associated with voluntary separation package. So second third quarter. Sorry Brian.
Brian Russo: Okay. Great. Thank you.
Operator: We'll take our next question from Andrew Weisel with Macquarie Capital.
Andrew Weisel: Thanks. Good morning, everyone.
Pat Kampling: Good morning, Andrew.
Andrew Weisel: First question on the CapEx update. Help me understand is the $260 million net increase over the years, is that pulling forward from the existing 10-year CapEx plan or would that be incremental to the $10.6 billion that you've forecast through 2020 for?
Pat Kampling: Yes so this is -- it's incremental to what we had shown you in the 10-year plan.
Andrew Weisel: Okay great. Next question I have is on a lot of the announcements you made on Riverside, I believe if I heard you correct, you said that the cash associated with incremental Columbia CapEx would be roughly offset by Muniz exercising the option for 55 megawatts, is that right and is there a scenario where you have one but not the other?
Pat Kampling: Andrew that is correct that they should offset each other as they both have been. We're not revising the CapEx until we know exactly what’s going to happen with the gracious options at this point, but the additional capital for Columbia would be offset by the co-ops purchasing Riverside. But it is possible that one of the options could occur without the other. They’re very independent of each other.
Andrew Weisel: Okay. Could that be big enough to move the needle on equity needs?
Pat Kampling: I don’t think so. We're talking capital of under $100 million here.
Andrew Weisel: Okay. Great. Then lastly I might be reading the subtleties of the wording a little too closely, but in the press release, you added -- you have the expression striving to achieve the projected earnings growth rate. And the last question you just talked about the lower sales growth. Any reason to think that the next years might be toward the low end of that range or do you still feel comfortable with the midpoint through the construction and maybe just commentary on how that -- how the outlook looks over the next several years.
Pat Kampling: Yeah, no, we're very confident and in keep in mind the reason we're gravitating towards the lower end right now is that when rate freezes and the sales forecast change from the timing you agree to rate freezes, but we're still very confident with our plan going forward especially as we enter rate cases about jurisdictions.
Andrew Weisel: Great, thank you very much. I appreciate the detail.
Pat Kampling: Sure.
Operator: We'll take our next question from Steve Fleishman with Wolfe Research.
Steve Fleishman: Hi, good morning.
Pat Kampling: Good morning.
Steve Fleishman: Couple questions just to follow up on the one with you mentioned on Riverside and Columbia and the co-ops how about also with Wisconsin energy and MGE just how do we think about both the impact of what they decide and when they likely decide on whether they're going to take more Riverside and share some of Colombia.
Pat Kampling: Yeah. So the Colombia is -- that change is happening during the Riverside construction that's between now and 2019. The purchase option is 2020 and beyond and that's really not in our CapEx plans. That's something we're going to need to monitor. We'll be working with the other utilities as they develop their resource plans as well. But that's not something that we can actually estimate the probability of right now.
Steve Fleishman: So that would be after the plant fully done and operating basically.
Pat Kampling: Except for the 55 megawatts for co-ops, that's during construction.
Steve Fleishman: Okay. And just the growth rate the 5 to 7 is that through 2018 or 2019 to follow the CapEx period?
Pat Kampling: Yes, it does. Yes, the CapEx period Steve, that's right.
Steve Fleishman: So it's 2019?
Pat Kampling: Yes.
Steve Fleishman: Okay. And then a question on the -- as I'm sure you're aware, we had a recent acquisition announcement of ITC and you have the transmission involvement there I'm just curious if you're likely to get involved and have any issues with that transaction or any intervention?
Pat Kampling: Steve, we wish we're analyzing the transaction as you can imagine. We're very large customer of ITC. So this is of quite interest to us as you can imagine. So we've had open dialogue with the folks at ITC and we just plan on having the open dialogue and we'll figure out exactly what our position is in their dockets, they have several dockets over the next several months.
Steve Fleishman: Is you intention just to file at FERC or do you think Iowa has a role at all?
Pat Kampling: We're still looking at what the different options are at this point Steve.
Steve Fleishman: Okay. Thank you.
Operator: Our next question comes from [Raza with L&T Capital].
Unidentified Analyst: Thank you. Just a quick question, on the rate base that you commented on earlier, is the deferred tax portion of rate base going up while the entire rate base total phase constant versus your prior guidance. Is that the best way to think about it?
Tom Hanson: I would characterize it that the NOLs along with the additional CapEx are offsetting the effect of the bonus depreciation.
Unidentified Analyst: The earnings base stays constant?
Tom Hanson: Yes.
Pat Kampling: Yeah, I would say the net rate base remains constant.
Unidentified Analyst: Net rate base, okay and then I think you commented on it a little bit earlier, but this incremental CapEx that you added, how does that affect financing plans over this period? Does it potentially lead to little more equity or not or how should we think about that?
Tom Hanson: The modest amounts that we're adding will not significantly change our equity needs. As Pat made reference, some of this is due to the timing of Riverside. Some of that cost is being pushed out and then we do have the opportunity to backfill as Pat mentioned with some of the electric gas distribution. So it's not going to be materially changing any of our financing needs.
Unidentified Analyst: And then the load growth you talked about, I'm sorry if I missed this earlier, but what is the forecasted load growth for your planning period?
Pat Kampling: Sure. We're using 1% now to book utilities. But I would say the growth is out of the 1%. It's higher in the industrial sector and lower in the residential sector.
Unidentified Analyst: Okay. Thank you very much.
Pat Kampling: Sure. You're welcome.
Operator: We'll take our next question from Jay Dobson with Wunderlich
Jay Dobson: Hey good morning, Pat and good morning, Tom. Question just to follow-up on Raza's question. So the rate base with the change in bonus depreciation and CapEx is the expectation are flat. So the earnings growth will be flat. But it doesn't really change your tax position. So cash flow we would anticipate would in fact be negatively impacted by the rise in CapEx, which facilitates the increase modest as you just said Tom, increase in financing needs. Do I have it right?
Tom Hanson: In the near term, yeah because when we had our previous forecast assuming no depreciation or potential bonus depreciation we were looking at making modest tax payments beginning in '17 and '18 and now with the extension, we won't have that, but that delta in terms of cash is not that significant certainly in the '17 and '18 timeframe.
Jay Dobson: Right. Okay, great. And then earned ROEs at the utilities subs what were those in '15 on sort of a non-weather adjusted basis understanding that weather is going to.
Pat Kampling: Yes we definitely earned our authorized return with [them] which was about 10.4 and then in Iowa is around the around 10% again excluding the Minnesota sale though.
Jay Dobson: Got it. And those are weather adjusted or -- so that would reflect that $0.08 adjustment or maybe more like a $3.57 number. I know it's not fair to say that on a jurisdictional basis but…
Pat Kampling: Right I would say it's all in including the weather.
Jay Dobson: Got you. Okay fine. And then last one on trended, the transportation segment just what you see going forward there obviously a tough year in 2015 for that segment though it developed throughout the year. So not a great surprise but you look forward through '16 and beyond just volume trends you're seeing.
Pat Kampling: Trend it's actually going through our strategic planning process. Right now looking at other opportunities and where they can expand their current footprint. So I'm very optimistic about some possibilities that they're looking at right now, but they've been very proactive knowing the reduction in their business these are really basically cold transportation. They're looking forward at some other opportunities for them right now, some more to come on that.
Jay Dobson: Got it. But if we're thinking about '16 and it's probably within a broad range of guidance would you -- we certainly couldn't get back to the 2014 level of earnings from [Krandex but] probably do see some improvement with some of the strategic initiatives there we're reviewing currently, is that fair.
Pat Kampling: I would say it might be beyond '16. It would be hard to execute on projects for '16, but definitely going into '17.
Jay Dobson: Got it, no that's fair. Thanks so much Tom thank you.
Pat Kampling: Sure.
Operator: We'll take our next question from Paul Patterson with Glenrock Associates.
Paul Patterson: Good morning, guys.
Pat Kampling: Good morning, Paul.
Paul Patterson: Just what was the 2015 weather adjusted sales year-over-year? What was the growth rate?
Tom Hanson: It was 1% in both of our two utilities. Again that's adjusting for the Minnesota sale.
Paul Patterson: Okay. And then the sales forecast is now 1% what was it previously I apologize.
Pat Kampling: Sure previously and this goes back to year ago, it was 2% Wisconsin and 1% in Iowa and now it's 1% in both jurisdictions.
Paul Patterson: Okay. And then the incremental CapEx, I'm not exactly -- this is incremental above, this isn’t bringing it forward from what I understand. This is new stuff. What is that and what's driving that?
Tom Hanson: We have provided a slide in our supplemental slides that kind of highlight that but I would put it basically in two big buckets. The first is dealing with our electric area in terms of certainly continuing to replace existing distribution lines. So it's really trying to upgrade the distribution system and we also have then some modest gas expansion as well.
Paul Patterson: Okay. And I guess so I'm wondering though is that if this is incremental over a 10-year forecast that would indicate that something is driving those. I saw the slide, I guess what I'm wondering is what's kind of driving this. Is it something forward that would indicate that you guys see some new need and I am just wondering what that is or if there is one, what I am missing?
Pat Kampling: Yeah, I would just say that we're actually just taking the opportunity to expand some of these projects. We've had a replacement program for our overhead and underground system for years and we're just really increasing that taking the opportunity now to increase that and where we evaluate after this five-year program because actually for the next five years and if we want to accelerate even more in the second five-year time frame and again our customer's expectations are in liability and resilience you just keep increasing.
Paul Patterson: Okay.
Pat Kampling: This is our first stage of looking at that and putting good dollars to work for our customers.
Paul Patterson: And then just the Kewaunee power plant, I believe that the Wisconsin has halted implementation of that. Is there any impact that you guys see of that or how are you guys dealing with that served just on a high level. Any thoughts we should have on that?
Pat Kampling: Yes, at a high level, yes the safest [comment] is that they're not going to put any resources to work on any clean power plant implementation. However, the utilities are still working together to try to understand their own circumstances into the plan. So we're working very proactively with the other utilities and we'll just have to see how this plays out in the State.
Paul Patterson: Okay. My other questions have been answered. Thanks so much.
Pat Kampling: Sure. You're welcome.
Operator: And there are no further questions. I would like to turn the call -- we actually have a follow-up question from Brian Russo with Ladenburg Thalmann.
Brian Russo: Yes, hi. Thanks for the follow-up. Just can you remind us what the base year and adjusted EPS is to formulate the 5% to 7% CAGR?
Tom Hanson: Brian, we update that every single year. You would want it, our non-GAAP temperature adjusted so similar to what we did in '14. So you would want to rebase that now that we reported our actuals for 2015. So the base for purposes that calculation would be $3.57.
Brian Russo: Okay. Thanks a lot.
Operator: And there are no further questions at this time. I would like to turn the conference back over presenters for any additional or closing remarks.
Susan Gille: With no more questions, this concludes our call. A replay will be available through March 01, 2016, at 888-203-1112 for U.S. and Canada, or 719-457-0820 for international. Callers should reference conference ID 8244179. In addition, an archive of the conference call and a script of the prepared remarks we made on the call will be available on the Investor section of the company's website later today. We thank you for your continued support of Alliant Energy and feel free to contact me with any follow up questions.
Operator: And that concludes today's presentation. Thank you for your participation.